Operator: Good day everyone and welcome to the Donaldson’s Second Quarter Webcast and Conference Call. As a reminder, today’s call is being recorded. And at this time, I’d like to turn the conference over to Mr. Jim Shaw, Vice President and CFO. Please go ahead sir.
Jim Shaw: Thank you, Aaron, and welcome to Donaldson Company’s fiscal 2015 second quarter earnings conference call and webcast. Following this brief introduction, Bill Cook, our CEO; Tod Carpenter, our Chief Operating Officer; and I will review our second quarter earnings and our updated outlook for fiscal 2015. But first let me review our Safe Harbor statement with you. Any statements in this call regarding our business that are not historical facts are forward-looking statements and our future results could differ materially from the forward-looking statements made today. Our actual results may be affected by many important factors, including risks and uncertainties identified in our press release and in our SEC filings. Now, I’d like to turn the call over to Bill Cook. Bill?
Bill Cook: Thanks Jim and good morning everyone. In a few minutes, Tod and Jim will cover the details of our second quarter results and our updated outlook for fiscal 2015. But, first I would like to offer some summary comments. As noted in our release, conditions in our various end markets around the world remain very mix. Demand for replacement filters in our engine and industrial after-market businesses continue to be very strong. Our gas turbine business also performed well this quarter as we’re able to ship both the projects that were delayed from our first quarter and all of the scheduled projects for Q2. And in our Engine OEM end markets on-road trucks and our North American based construction businesses continue to perform well. However, our Engine OEM markets including the North American and Europe ag equipment markets and mining end markets worldwide continue to face significant challenges. In addition, the effects of foreign currency translation headwinds from a very strong U.S. dollar impacted us significantly during the quarter. So while we were able to deliver 7% local currency sales growth in Q2, due to the strong U.S. dollar this translated into U.S. dollar sales growth of only 3%. Now, obviously we can’t control the exchange rates and it would be fair we benefited when it was going the other direction. But this very recent and rapid change in the U.S. dollar has masked our underlying sales growth. Jim will provide more details on the impact of FX in a few minutes. Last quarter, we announced adjustments in our discretionary spending to ensure that our cost structure was in line with our projected level of sales growth for the year. These discretionary spending reductions helped us to meet our expected bottom line performance for the quarter. However as we look ahead, we continue to see weakness in our end markets that are dependent on new CapEx investments such as our first-fit dust collection market and most of our off-road OEM businesses. As a result, we will implement additional productivity improvement and our restructuring actions during the balance of this year to further align our cost structure with our latest forecast. We will do this while also allowing us to move forward with key strategic investments in the technology and our new growth initiatives that will deliver long-term shareholder value. On January 30th, we announced that effect of April 1st; I will pass our President and CEO to Tod Carpenter, who is currently our COO. Tod’s promotion to CEO is a result of our ongoing executive development and CEO succession processes, which our board has been actively engaged in for the past several years. I’ll remain Chairman of the Board. With over two decades of employments with our company serving in many leadership roles both in the Europe and the U.S., Tod has demonstrated a passion for our business, a strong customer orientation and a keen focus on delivering financial results. I worked closely with Tod throughout his career and I’m confident that he is the right leader for our company as we celebrate our 100th anniversary and more importantly as we look forward to our next chapter of growth, innovation and value creation. And as a final news note, we will be ringing the closing bell on the New York Stock Exchange this Thursday in celebration of our company’s first 100 years in business. So let me now turn the call over to Tod to provide an operational overview of the quarter. Tod?
Tod Carpenter: Thanks, Bill. Before I begin with our business review, I would first like to take this opportunity to thank our board of directors and Bill for the trust they have shown in me by appointing me as the next CEO of Donaldson effective April 1st. I want to especially like to thank Bill for the mentoring he has given me during his 11 years as our President and CEO. He is well respected by our employees, customers, shareholders, distributors and suppliers. I look forward to continuing our work together as Bill transition to his new position as Chairman of our Board of Directors. Thank you, Bill. Turning to our business review, our second quarter sales were $597 million, up 3% from last year’s second quarter, but up 7% in local currency. The remainder of my remarks today will focus on our local currency second quarter results. As a reminder, you can find a detailed analysis of our currency translation by business unit and region on the Investor Relations homepage of our website. First let me begin with a review of our business segments then I’ll provide more color into specific product line. For the second quarter, sales in our Engine Products segment increased 1% over the prior year. Within Engine Products, our engine aftermarket sales increased 5%. As a reminder, we sell aftermarket or replacement filters through both our OEM and independent distribution channel. In our Engine Aftermarket business, we saw solid growth in most of our geographies. We attribute this growth to the combination of our sales growth initiatives and improving equipment utilization by end-users in the field. Our engine aftermarket growth was led by Latin America, growing 24% in the quarter. Our sales growth in Latin America is an excellent example of our strategy to broaden our distribution channels within emerging markets. This year we added a distribution center in Peru with great success and we’ll next open two distribution centers in Colombia. Our replacement filter sales in the U.S. grew 2%. One area of softness we saw this quarter was from inventory destocking in the agriculture equipment service channel. We expect destocking to continue until the spring planting season. Our engine aftermarket is one of our earliest cycle end markets and the improvements we have seen over the last few quarters provides evidence that diesel equipment in the field is being used at an increasing rate generating the need for more maintenance, including our filters. This higher utilization of equipment in the field will in time result in improving demand for new equipment. We continued to see data supporting this in our on-road heavy truck and construction equipment markets although at different rates regionally. Reviewing our first-fit engine OEM business, our on-road OEM sales increased 12% globally. Northern Latin America on-road sales grew 10% and 17% respectively due to a continued increase in build rates of new trucks by our customers. Europe on-road sales grew 11% in the quarter, mainly due to our increased share on the newer Euro 6 trucks now in production. Our Asia Pacific sales were up 15%. Switching to our off-road OEM business, our sales continue to decline with an 18% decrease in Q2 compared to one year ago. Our decrease is a result of a continued slowdown in demand for new agricultural equipment in both Europe and the Americans, the ongoing decline in the production of new mining equipment globally and the continued softening of demand for construction equipment in Asia Pacific. Based on our customers forecast, we believe that the mining equipment market will continue to decline slightly through the reminder of this calendar year and demand in the agricultural market will continue to soften through the remaining of our fiscal 2015. Our aerospace and defense group reported 16% increase over last year’s second quarter. This is attributed to strong sales of defense replacement parts. Moving to our industrial products segment, sales grew 13% led by a doubling of our gas turbine sales compared to second quarter of last year. Our gas turbine business is a lumpy project based business with large shipments subject to the readiness of our customers build site to take delivery. Last quarter, as you may recall, several large projects were rescheduled by our customers to be shipped in Q2. Some of our delays include shipments by our latest acquisition Northern Technical located in Abu Dhabi. These projects have now all shipped and revenue at Northern Technical was $5 million in the quarter. Our Industrial Filtration Solutions business reported a 3% increase in global sales led by very strong aftermarket filter sales. Our double digit aftermarket filter sales growth was able to offset continued weakness in our first-fit or new equipment sales, reflecting a soft new capital equipment spending market. Our special applications sales were up 4% as disk drive filter sales and venting sales were both good. In summary, our second quarter saw solid growth from engine OEM on-road, engine aftermarket, aerospace and defense and gas turbine which offset weakness in our OEM off-road and first-fit dust collector equipment businesses. Now let me briefly discuss some specific product line results. One of our most successful technology introductions for air filtration has been and continues to be PowerCore. For our second quarter, our PowerCore sales were $44 million, up 15% over last year. In our industrial dust collection business, we sold 344 new systems in Q2, additionally sales of our brand Torit PowerCore replacement filters for dust collectors increased 24% in the quarter. Also PowerCore replacement filters for our engine business increased 18% in the quarter. The strong growth in PowerCore replacement filters during the difficult end-market conditions validates our proprietary first-fit strategy. Our industry leading technologies are designed to both solve our customers’ needs under new equipment while hoping to retain replacement filter business for the long-term. So in total, our PowerCore sales were up $5.7 million in the quarter, up 15% over last year. Our Downflo Evolution, or DFE, is the next generation of cartridge dust collectors that offers improved pulse cleaning technology and a 40% smaller dust collector compared to competitive products. As we reported last quarter, reception of this new product line has been strong and we shipped another 56% this quarter. As these new DFE systems are put into service by our customers, just like our powerful product line, we will retain the aftermarket or replacement filter sales for a much longer period of time. Looking at our liquid filtration sales, our second quarter liquid sales increased to $120.7 million. This reflects a continuing end-market challenges we faced in our off-road markets with reduced production levels at most of our OEM customers. However, despite the current low production levels at our OEMs, we are very excited about our increased market penetration with our new select diesel fuel filters, which use our patented Syntech XP media. We have 13 new OEM customer first-fit programs, the first of which has now begun shipping. All 13 new programs will provide additional first-fit sales growth initially and over time significant replacement filter growth. Let me now turn the call over to Jim Shaw to discuss our operational metrics and outlook for the remainder of our fiscal 2015. Jim?
Jim Shaw: Thanks Tod. Good morning everyone. As you’ve listened to or read recent earnings reports from U.S. based multinationals, you’ve consistently heard the significant impact of the dramatic strengthening of the U.S. dollar and resulting foreign currency translation is having on their results. We are no different. On a worldwide consolidated basis, this foreign currency translation impact had a $27.5 million, or 4.8%, negative impact on our quarterly revenues, and a 3.3% negative impact on a year to date basis compared to fiscal 2014. It also reduced our reported earnings by $2.7 million, or $0.02. The most significant strengthening of the U.S. dollar hit us in late December and continued into January. So as I will comment on later if the U.S. dollar stays at this level, this will also significantly impact us during the remainder of the fiscal year. While the weaker Euro has had the most impact to our results, the dollar also strengthened against most currencies including the Japanese Yen and the Australian dollar where we also have significant operations. This quarter we included additional information in our earnings press release that shows our FX has impacted our consolidated and business segment results. Switching to our gross margin, this quarter it was 34.4%, down 30 basis points from last year’s second quarter. As we noted in our press release, there were a few items impacting our gross margin this quarter. We experienced lower fixed cost absorption due to production volume decreases in a number of our manufacturing plants as compared to last year. This along with some product transfer costs resulted in a negative 30 basis point impact. We also had negative mix impact due to the large increase in first-fit gas turbine project shipments, which had a negative impact on margins of 30 basis points. We also had $700,000 of restructuring costs included in gross margin this quarter. Offsetting these margin headwinds, where our continuous improvement initiatives which benefited our gross margin by approximately 40 basis points as compared to last year. Our operating expenses increased by $8 million as compared to last year’s second quarter. As a percentage of sales, operating expenses increased by 70 basis points. The increase was due to the special lump sum pension settlement of $3.9 million additional employee related cost and other costs in support of our sales growth related investments. This was offset by discretionary cost saving measures, which we began implementing at the end of our first quarter. Our reported operating margin for the quarter was 11.4%. Excluding the restructuring and pension charge is at 12.2% or down 10 basis points from last year. Looking forward, we expect our full-year fiscal 2015 operating margin to be between 13.6% and 14.4% excluding the restructuring charges and pension settlement charge, included in that number is $5 million of higher cost for our global ERP investment in fiscal 2015 as compared to fiscal 2014. Our first go lives in Europe are scheduled for our third quarter. In addition to our ERP project, we’re planning to make a number of other sales related growth investments. The change in our full-year operating margin guidance from last quarter is primarily a result of sales volumes expect to be lower than originally anticipated for the remainder of the fiscal year, which I’ll cover in our guidance update. Our effective tax rate for the quarter was 27%, compared to the prior year rate of 22.1%. You may recall that last year’s second quarter included a $6.4 million in tax benefits related to the favorable settlement of a tax audit. The year-to-date effective rate was 27% compared to the prior year rate of 27.6%. Based on our projected global mix of earnings for fiscal 2015, we’re forecasting a full year tax rate of 27% to 29%. Our second quarter CapEx was $24 million. Looking at our forecast for fiscal 2015, we expect to spend between $90 million and $100 million on CapEx for the full year. The breakdown of our CapEx spend is projected to be approximately 25% for our technology initiatives, which include our global ERP project and our R&D lab projects, another 30% is for tooling for new products, 30% related to cost reduction activities through our continuous improvement initiatives and 15% related to our capacity expansion, most notably our new plant in Poland. We expect depreciation and amortization to be between $73 million and $78 million in fiscal 2015. Free cash flow was $12 million in the second quarter, which was impacted by the large number of gas turbine projects shipments mentioned earlier. Those large projects [indiscernible] has resulted in higher accounts receivable balances and those still in production has had some impact on inventories. In addition, we have a number of growth initiatives such as new distribution centers where we’re adding inventory to support our aftermarket businesses, which have also impacted working capital in the quarter. For fiscal 2015, we expect full year cash flow from operating activities to be between $245 million and $285 million and with our forecast of CapEx we expect to generate $150 million to $190 million of free cash flow this year. During the quarter, we repurchased 1,045,000 million shares for $39.9 million. Year-to-date, we’ve repurchased 4.4 million shares or 3.1% of our diluted outstanding shares for $174.2 million. We anticipate in repurchasing up to 4% of our diluted outstanding shares in fiscal 2015. We expect interest expense to be between $14 million and $16 million and our balance sheet remains very strong with $257 million of cash and short-term investments. Now, I’d like to provide some comments on our updated outlook for fiscal 2015. Our second quarter results have shown that our first-fit OEM equipment end markets and our first-fit dust collector market conditions continue to be challenging. Additionally, the Asia Pacific region does not currently show signs of recovery in our end markets, impacting even our engine aftermarket business there. Based on the outlook in our press release, we’re now forecasting sales growth of up 1% to down 5% in fiscal 2015. This range is 4% lower than our previous outlook with much of the decrease attributable to foreign currency translation, resulting from the strong U.S. dollar. At current exchange rates, we expect that sales will be impacted $136 million, or 5%, versus last year due to the strengthening of the dollar. Or another way of looking at it is that at constant exchange rates, we’re projecting full year sales to be up 2% to 7%. This difference speaks to have significantly the stronger U.S. dollar has impacted the translation of our international results. In our engine product segment, we forecast full year sales to be flat to down 3%. We expect to see continued good momentum in North and the Latin American and European truck builds and modest improvement in Northern Latin American construction equipment builds. However further weakening in new agriculture equipment builds and a continued weakness in mining equipment builds and utilization have resulted in a reduction to our forecast. Finally, we expect mid single-digit sales growth in our aerospace and defense business. Our outlook assumes continued weakness in our defense business with better prospects on the aerospace side of the business. In our industrial products segment, we’re forecasting sales to increase 0% to 3%. We expect gas turbine sales to increase 20% to 36% in fiscal 2015 as the industry rebounds from the pause it experienced last year and we have our first year of sales from our Northern Technical acquisition. We’re expecting Industrial Filtration Solutions sales to be flat to 4% down including the impact of FX. Replacement filter sales remain strong and we now expect modest growth in new filtration systems as manufacturing capital investments slowly improves. Additionally, our new product launches, announced last quarter, should help support our top line growth plans. Finally, our forecast for special applications is expected to be down slightly due to decreases in our membrane product sales, partially offset by increases in our integrated venting solutions and disk drive filter sales. As discussed earlier, our forecasted operating margin should be between 13.6% and 14.4%, excluding the pension and restructuring charges. As reported in the press release, we recorded charges totaling $4.6 million in our second quarter, related to these restructuring and pension lump sum settlements. We anticipate restructuring charges of an additional $3 million, as we closed our muffler plant in Grinnell, Iowa. These charges along with the cost of other productivity and restructuring actions we will be implementing are not included in our operating margin outlook. So in total, we expect our EPS to be between $1.65 and $1.85, that’s excluding the restructuring and the pension settlement charges. The midpoint of this new range would be similar to our record fiscal 2014 EPS of $1.76 in spite of the substantial impact of currency on our reported earnings this year. That concludes my prepared remarks. I’ll now turn the call back over to Aaron to open up the line for questions.
Operator: Thank you. [Operator Instructions] And we’ll go first to Charlie Brady with BMO Capital Markets.
Patrick Woo: Hi, guys. This is actually Patrick Woo standing in for Charlie. How are you?
Bill Cook: Good, good morning.
Tod Carpenter: Good morning.
Patrick Woo: Good morning. On the road side of the business, I was just wondering what are your expectations of – well I guess what are your expectations of – well I guess what estimates are you guys building in for truck build rates in the U.S and Europe for 2015?
Tod Carpenter: U.S. and Europe?
Patrick Woo: Yes.
Tod Carpenter: So, Patrick, specifically – this is Tod. As we look to the U.S., we’re feeling good strength between roughly 9% to 11% increase is our OE build rate look. ACT data would support that with roughly about 340,000 trucks this year through the calendar year 2015 that’s what we have put in our forecast. Within Europe, we see a little bit less about 5% to 6% increase, however still stronger rates than last year.
Patrick Woo: Okay. I just want to go over to filtration side. What are your expectation I guess again geographically in Europe and U.S going forward? Given the – I guess given the decline in the items mentioned?
Tod Carpenter: Repeat the last part, we lost you there.
Patrick Woo: Given the decline guidance, I just wanted to get a better understanding, I guess better color on how that has shifted in terms of geographic expectations in the second half of the year?
Tod Carpenter: Yes, so for the overall business, obviously, there’s differences in each of the end markets slightly, but as an overall blanket statement I think in the Americas, including Latin America, Mexico, we continue to see pretty good signs in terms of a slow, but steady recovery and improvement in our businesses, the on-road truck is heavier in the Americas, so that obviously helps a little bit. Europe has been I’d say – we get mixed signals, so we see some indications that things are improving and then it takes a step back. So Europe has really not changed since our last quarter. I think where we have seen change which is reflected in our guidance is Asia Pacific, particularly China. The things do seem to have weakened a little bit there that’s reflected in some of the news reports you see and it seems the credit situation has impacted some of our larger capital spend and our customers willingness to launch new programs. So I’d say the biggest difference has been what we’ve seen in slowdown in Asia Pacific.
Patrick Woo: Great, great. If I can squeeze in one more, I think last quarter you mentioned that the ag business was down 25%-ish, 35%-ish. Has that deteriorated even more? Is that what you’re seeing or is that still a general guideline?
BillCook: Yes. Patrick, it’s Bill here. Just – I think what we’ve seen is that it’s probably continued to deteriorate on the first-fit side. We look at the announcements like gears [ph] last week so that we’ve incorporated that into our guidance, our new guidance.
Patrick Woo: Got it. Okay, thank you.
Operator: And we’ll go next to Laurence Alexander with Jefferies.
Laurence Alexander: Good morning, a couple of questions. First, with the downturn you’re seeing in Asia, can you just talk a little bit about the share gains you’re making in the region? And are their share gains going to be a fairly steady tailwind to sales growth over the next few years? Or should we see it as a sort of steadily increase in kind of tailwind as new platforms come on the stream?
Tod Carpenter: So, Laurence, this is Tod. So in Asia, if we just take the industrial business first, the industrial side of our company, we’re making nice gains in our IFS business across the Asia that would give us some – some real positive outlook there and as we continue to expand our strategies there for growth. And then on the engine side, specifically, we’re focused on winning more shares because we have a very small share on the OE portion especially in China and also increasing and implementing our strategies, our successful strategies and aftermarket. So we believe that we’ll get some tailwind as we continue to look forward in China over the time ahead.
Laurence Alexander: And then specifically to China, can you characterize what you’re seeing in terms of regulatory tailwinds from tighter environmental standards and also – are we seeing any impact from the governments are encouraging sort of buy local strategy rather than multinationals?
Tod Carpenter: So, Tod again. No, we’re not seeing that nationalism if you will. What we are seeing is the effects of the regulations especially as they bring on in 2017 Euro VI. So they are focused specifically on cleaning up their 2.5 if you will is what they call it PPM in China. So there is some regulatory positive change that can help us as they look to increase the technology within that market. We are not seeing a nationalistic behavior however.
Laurence Alexander: Okay, thank you.
Operator: And we’ll go next to Richard Eastman with Robert W Baird.
Richard Eastman: Yes, good morning.
Tod Carpenter: Good morning, Rick.
Richard Eastman: Tod, could you just may be address the Europe aftermarket business being up just modestly if not flat in local currency? Is that just some inventory destocking distortions or is there – why is that flat?
Tod Carpenter: So, overall, we have been looking to Eastern Europe in order to try to help gain momentum. We’re feeling the effects of the geopolitical Eastern situation that’s really pressing negatively on the gains that we’re making in the Western portion of Europe. Last year, we had double-digit gains in our aftermarket and it was really very broad based all across Europe, but specifically the geopolitical activity is making us flat at this time.
Richard Eastman: Okay. And then just – and may be one for Jim or two for Jim. Let me drag him into this. The working capital number – I guess you addressed this, but the $700 million use of cash in working capital and that is the receivables on the large gas turbine shipments in the quarter? And…
Jim Shaw: There is a company – go ahead.
Richard Eastman: And then you’d commented that there’s still some gas turbine business in the backlog or?
Jim Shaw: Yes, that’s right, so a couple of things with working capital. I think, one, we see some opportunity for improvement on that. So a number of the large projects that we shift – shift towards the end of the quarter, middle of the quarter, so we haven’t yet collected the receivables on that, so those project – we had a very significant 60 million plus quarter in terms of shipments. So that’s sitting – a fair amount of that is still in receivables, so that’s impacting us as well as just the higher growth in our gas turbine business since the start of the year has impacted our inventory to some extent. There’s also a couple of other things with regards to inventory. So, we have increased our inventory as a result of our distribution center expansion, so we’re expanding a distribution center in Europe, as Tod mentioned, a couple of new distribution centers in Latin America. That’s an investment we want to make because that business is growing. Our aftermarket business is growing nicely, so just to keep up with the sales and even keeping turns level, there is an investment there. I think the couple opportunities we see are the West Coast ports added a couple of million dollars of inventory as we built some safety stocks that – now that that’s resolved. We can begin to address. We also had some product moves where we are moving production lines from one of our facilities to another and we have built up some inventories. So I see some opportunity to reduce inventory here over the next quarter, but those are kind of all of the factors that combined for I’d say a less than stellar working capital quarter, but we’re going to address that going forward.
Richard Eastman: And then just when I look at the gas turbine business and I was actually under the impression that some of that business in the first fiscal quarter would ship in the second half of the year. But it does seem like you turned quite a bit of that, so if the back half of the year then effectively kind of flattish or down modestly in gas turbine shipments?
Jim Shaw: Yes. So we shipped mid $90 million in the first two quarters of the year and we’re expecting a similar amount to ship in the second half just not as lumpy. So how we shipped double second quarter than first quarter as we move roughly the mid $90 million that’s in the second half of our forecast about 40% of that we expect will ship in the third quarter, about 60% of that in the fourth quarter. So, it will be down a little bit from our second quarter and then third to fourth will increase a bit.
Richard Eastman: Sure, now okay, I understand. And then maybe just the last question. Again, when I look at the midpoint of the EPS guide, it’s down about $0.12 and again my math says the incremental currency impact is maybe $0.06 of that. And so the other kind of $0.06 here is essentially you’re suggesting the dust collection business maybe as a little softer and then the gas turbine outlook seems like its coming a little and then maybe some modest incremental weakness in the off-road. Is that kind of defining the other half of the earnings reduction?
Jim Shaw: Yes. And maybe on the first point, as we calculate it we get a little more than half in terms of the FX, so maybe about 60% plus of that change is just due to FX. But then the other factors you mentioned are right on. Just general softness in Asia Pacific, the ag, a little bit of slowdown in mining first-fit.
Richard Eastman: I see, okay. Okay, thank you.
Operator: And we’ll go next to Eli Lustgarten with Longbow Capital Markets.
Eli Lustgarten: Good morning everyone.
Tod Carpenter: Good morning, Eli.
Bill Cook: Good morning.
Eli Lustgarten: Congratulate Bill on what’s been a great tenure and knowing exactly when to put Tod under fire I guess.
Bill Cook: Thanks, Eli.
Eli Lustgarten: You’ve got to have a little fun. It’s a tough environment and you’re executing very well. So let me ask you the regulatory, can we talk a little bit about oil field impact that you’re seeing? I know – you don’t have much measure directly which maybe measuring what have you or indirect but filtration [indiscernible] engine and oil rigsoil rigs and stuff like that will be impacted, so do you have any feel or are you seeing any impact from the oil field overall is that sort of negligible that we don’t worry about it?
Tod Carpenter: Eli, this is Tod. So we are not seeing any impact at the moment. And we are continuing the top two - our customer base that would be what we would call our small turbine business. We are not really prepared to give any outlook or guidance at this time, due to the situation.
Bill Cook: Eli, it’s Bill I’ll add to that.
Eli Lustgarten: [Indiscernible] business isn’t it?
Bill Cook: It is- but and I will add to what Tod said, I mean you were looking at our customer announcements as Tod mentioned and I think there is an anticipation that some of that impact in the oil field is still to be felt. So we’ve incorporated that into our guidance announced this year. That there is probably some of the projects we are underway we’ll continue. But probably they won’t be replaced with new projects, if oil prices stay where they are.
Eli Lustgarten: And this will be low single-digit kind of impact in sales, isn’t it?
Bill Cook: It’s pretty small for the fiscal.
Jim Shaw: This is Jim, Eli. For this year it looks pretty small. We see a little bit of impact in some of our aftermarket businesses, for the fracking fields in the life. But again very small as a percentage of our business this year, I think the unknown is, as we look forward what it does to the bigger projects in the subsequent years.
Eli Lustgarten: Okay. And in your comments, you talked about ag being soft for the end of your fiscal year and mining as being soft. Is that based on the visibility that they have given you? Have you gotten visibility past July most from the ag guys or so or is that little bit you’re willing to talk about at this point. Because it looks like the ag business will continue down, not just for July but for most of 2000 - the calendar year. And BHP just made comments today about cutting more spending. So as we suspected it doesn’t stop in July.
Tod Carpenter: So Eli, this is Tod. We baked in as we talked about last time 25 to 35 on the down. We’ve taken that now internally in our models to closer to 40% down. So that’s baked into the guidance, we do have a good visibility over the next 90 days and we have been talking quite a bit with our customer base. As it gets a little bit later into the calendar year, our visibility gets obviously a little bit more clouded. But we baked in additional decline from last time.
Eli Lustgarten: Yes, and your customers sort of saying that the business will stabilize as we get to the summer or is it uncertain at this point?
Bill Cook: On the first-fit large tractors that they believe that there will be a continuing softness, aftermarket will be fine, but then it will continue to be fine on what’s called the feedstock or the smaller forms dairy, those type of smaller vehicles at the current low levels, so that’s how we bake it in.
Eli Lustgarten: All right. Thank you very much.
Operator: And we’ll go next to Brian Drab with William Blair.
Brian Drab: Good morning.
Tod Carpenter: Good morning, Brian.
Brian Drab: Tod, congratulations on the promotion and Bill we’re happy to see that you’re still sticking around.
Tod Carpenter: Thank you.
Bill Cook: Thank you, Brian.
Brian Drab: So the first question just – maybe just see that number, that last question. We heard from Pall Corporation this morning that they heard from customers in the machinery and equipment markets that there is a destocking is occurring and that’s supposed to take place they are hearing from the customers or I think they said the next six to seven months and that will level out. Is that similar to what you’re seeing in I guess the off-road aftermarket?
Tod Carpenter: This is Tod. In the aftermarket portion we’re only seeing destocking in the ag markets, we’re not seeing any construction or transportation or mining and that destocking came on at the end of last calendar year. We expected to continue slightly into the spring planting season, but we should be through the majority of that.
Brian Drab: Okay, okay. And then another question on related to oil and gas and I asked this question of Pall Corp this morning as well. But I think about 50%, 60% of your cost of goods is associated with raw materials and I would imagine significant portion of that is petroleum based resins for manufacture [ph] filtration media. Is this a possible tailwind benefits to margins in the back half of the year?
Jim Shaw: This is Jim. Maybe just to clarify that comment about 65% of our cost of sales are material, the biggest piece of that is steel, so that’s about 25% of materials, the next one is media that’s about 20% and then the third biggest is the petroleum based product. We haven’t seen the impact of that yet it is generally takes some time to work through the channels. It’s possible we’ll start to see that here over the coming months and that potentially could benefit us, but we do have with many of our OEs cost sharing agreements in terms of price downs over time. So, yes it could, but we don’t see it very significantly over the next several months at least.
Brian Drab: Okay, thanks for that clarification, Jim. And then just one last one for you Jim, I think in the prepared remarks, you said that you – if the dollar stays at this level and have significant impact on 2015. I don’t know if you quantified in terms of the top-line and in terms of EPS just what exactly the impact you’re expecting from FX for the full-year of 2015 at this point?
Jim Shaw: Yes, the full year year-over-year is $136 million to our top-line if rates were the same as last year to this year year-over-year. And then I didn’t quantify the bottom line, but generally that that follows at a same percentage because our costs are generally matched up overseas. The one difference and slight impact is as sales go down, say 5%, generally our profit goes down a little bit more and that’s because many of our headquarters and corporate costs are denominated in dollars. So we have a higher percentage of our costs in the U.S. versus overseas. So generally if our costs – if our revenues go down 5%, our profits go down a little bit more than that.
Brian Drab: Okay. And then just to clarify, the $136 million that assumes just constant exchange rates from this point on through the rest of the year?
Jim Shaw: That’s correct. So…
Brian Drab: Okay.
Jim Shaw: In our guidance, we were using the Euro at 113 and the Yen at 117.
Brian Drab: Okay, thanks a lot.
Operator: And we’ll go next to Larry Pfeffer with Avondale Partners.
Larry Pfeffer: Good morning gentlemen. Congratulations, Tod.
Tod Carpenter: Thank you.
Larry Pfeffer: So just a quick question, I know that the gas turbine business is lumpy and the outlook is inherently uncertain, but do you have any general thoughts on how the business should trend into the back half of the calendar year?
Tod Carpenter: I missed the first part. The…
Larry Pfeffer: So, you know, I know the gas turbine business is lumpy and inherently uncertain outlook, but just wondering if you have any kind of outlook on what the back half of the calendar year looks like there.
Tod Carpenter: Sure, sure, sorry about that. The first half and the second half in terms of dollars are relatively similar. So mid $90 million, maybe upper mid $90 million dollars the way we see that 95 plus million dollars playing out in the black half of the fiscal year is about 40% of it in the third quarter, about 60% of it in the fourth quarter.
Larry Pfeffer: Okay, so and then calendar second half? Do you have any outlook there?
Tod Carpenter: Yes, we are just not until we get through the next couple of quarters we are not prepared to talk about our next fiscal year at this point.
Larry Pfeffer: Okay. I understand and I know we’ve talked a lot today about the off-road side of the business. But just wondering, where do you see inventory levels at in the on-road aftermarket. I know last year, you benefited from some restocking. How do you see that trending right now?
Tod Carpenter: This is Tod. We see us of having a very nice strong transportation aftermarket business, no destocking its just kind of businesses, business as usual and continued with nice growth and executing our growth strategies.
Larry Pfeffer: Okay. Thank you, gentlemen.
Tod Carpenter: Thanks.
Bill Cook: Thank you.
Operator: And we will go next to Jim Giannakouros with Oppenheimer.
Jim Giannakouros: Hi, good morning, thanks for taking my questions.
Bill Cook: Good morning.
Jim Giannakouros: And trying to calculate organic growth components, you touched on new product introductions earlier in your prepared remarks. But can you quantify how much of a positive contribution you’re seeing or expecting from new products, both in engine and industrial over the coming quarters? I mean adding a point or two from organic perspective or less than that?
Tod Carpenter: Yes. It’s really hard to quantify sort of a vitality factor, because as we introduced products, they are sort of slower introductions and small win by small win. But we do continue to win in terms of new products Tod talked about. What we have been able to do with regards to the new applications we launched in our dust collector business. We feel we are definitely taking share there, as we expand in some of our geographies, our Latin America business for example is growing at significant rates that’s not necessarily new product, but new markets for us, where we are able to grow our organic rates. And then we do have a couple of new programs that are just in the early stages with our power fleet technology. We just started shipping last year this quarter, so wasn’t a significant amount of revenue. But that is something that is going to going to add, as we move forward. So I don’t have a specific number for you, but that is part of our just our culture in terms of how we are, a point to a couple of points every year needs to come from new products.
Jim Giannakouros: Okay, I understood. And one more if I may. As far as your restructuring or your cost containment actions that you plan and I’m sorry if I did missed it, but did you quantify or can you quantify how much in costs you are looking to take out or from a margin perspective how many basis points we should be expecting as it benefit from these actions on a normalized basis?
Bill Cook: Jim, this is Bill. We haven’t quantified that yet, the stuff we’re working through right now. We have quantified what we’re doing related to the Grinnell and that’s in the release. So that part has been quantified, the rest is in process.
Jim Giannakouros: Okay, thank you.
Bill Cook: Thanks.
Operator: [Operator Instructions]
Operator: And with no questions holding, I’d like to turn it back to our speakers for any comments and closing remarks.
Bill Cook: Okay, thanks Aaron. And just to conclude our call, I’d like to thank everyone today for your time and continued interest in our company. I’d also like to thank my fellow employees for their efforts during our second quarter. So, thank you all and have a great day. Good bye.
Operator: This does conclude today’s conference. We thank you all for your participation.